Operator: Good afternoon and welcome to the Intrexon Corporation First Half and Second Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I’d now like to turn the conference over to Christopher Basta. Please go ahead.
Christopher Basta: Good afternoon. I am Chris Basta, Vice President of Investor Relations for Intrexon Corporation. Welcome to our second quarter 2015 earnings conference call. Joining me on the call today are Mr. Randal Kirk, Chairman and Chief Executive Officer, and Mr. Krish Krishnan, Chief Operating Officer. During this conference call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements with respect to revenues, earnings, performance, strategies, prospects, and other aspects of the business, of Intrexon are based on current expectations, are subject to risks and uncertainties. A number of factors could cause actual results or outcomes to differ materially from those indicated by such forward-looking statements. Please read the Safe Harbor statement contained in the earnings press release, which was released earlier today, and is also available on our Web site under the Investors link, as well as Intrexon's most recent SEC filings, for a more complete description. The press release references and our discussion this afternoon I reference certain non-GAAP financial measures, including adjusted EBITDA, earnings per share, pro-forma adjusted EBITDA earnings per share and pro-forma net income. Reconciliations to GAAP measures are contained in the earnings press release, as well as on the Investor section on our Web site at www.dna.com. Now I’d like to turn the call over to Krish Krishnan, our Chief Operating Officer. Krish, the floor is yours.
Krish S. Krishnan: Thanks, Chris. Good afternoon, everyone and thanks for joining the call today. R.J and I are pleased with Intrexon's performance in the second quarter of 2015. We’ve recognized that biology can both inspire and create revolutionary solutions to the world’s pressing problems, decoupled passion with a socially conscious purpose empowering people to realize the products of a better, cleaner, healthier planet. And during the second quarter, we continue to progress our leadership position in the engineering of biology. Within the health sector, our momentum continues to build as we pursue the potential of gene and cell therapies to make a difference in patient’s lives. During the quarter, some of our collaborators entered the clinic, announced that intend to enter the clinic, enabled by Intrexon’s platform to fight a number of diseases. ZIOPHARM has begun to recruit patients in clinical trials against brain cancer and breast cancer, using the RheoSwitch controlled IL-12. The ability to tune and regulate the expression of this powerful cytokine and a broad array of other genes via our RheoSwitch technology opens the door to safer approaches within the growing field of gene therapy. Fibrocell Science filed an IND for its lead gene therapy candidate, utilizing an autologous cell platform engineered to express collagen 7, for the treatment of debilitating genetic skin disorder known as RDEB. Oragenics is pursuing the development of biotherapeutics for oral mucositis, including clinical advancement of ActoBiotics, AG013. Oral mucositis is among the most frequently reported adverse events associated with cancer therapy affecting up to 500,000 patients annually and AG013 offers a convenient oral treatment to deliver therapeutics that protect against and repair chemo radiation induced damage of mucosal tissue. Additionally, Oragenics selected a lead candidate in the lantibiotics platform, which could provide an important new tool in the global fight against bacterial antibiotic resistance, which causes more than 2 million illnesses and 23,000 deaths each year in the U.S alone. Our immuno-oncology program focusing on adaptive T-cell therapies continues to be a key focus and we’re pleased to announce that during the second quarter our exclusive collaborations and license agreement with Merck Serono to develop CAR-T therapies became effective. That resulted in the receipt in July of $115 million upfront payment of which ZIOPHARM received 50%. Additionally, Merck Serono have selected its first two CAR-T targets and we’ve initiate a research and development efforts on these programs. In April, we also announced our CRADA with NCI through which Intrexon and NCI intend to develop RheoSwitch controlled IL-12 cancer therapies, utilizing autologous peripheral blood lymphocytes for the treatment of patients with solid tumor malignancies. Finally in health, we were pleased to provide our shareholders the opportunity to participate directly in the value created by our collaboration with ZIOPHARM through the tax efficient special stock dividend of the ZIOPHARM shares owned by Intrexon. At the time of the distribution, we noted that Intrexon shareholders may recognize further gains in ZIOPHARM shares plus the dividend, driven by the ongoing development of ZIOPHARM’s diversified pipeline and expanding collaboration opportunities and we continue to believe that will be the case. Meanwhile, Intrexon’s very significant economic interest in all of ZIOPHARM’s programs remains impact and a large focus of our Company. Moving on to the food sector, Intrexon completed the acquisition of Okanagan Specialty Fruits, the pioneering agricultural company behind the Arctic apple, and the world's first non-browning apple without the use of any flavor-altering chemical or antioxidant additives. Intrexon strategy in the food sector centers on responsibly harnessing the power of technology to produce wholesome, nutritious food that is more appetizing and convenient to consumers and Okanagan fits very well within our approach. The U.S apple market is valued at over $2.7 billion annually and with the rising demand for healthy snack alternatives, the fastest growing segment within this industry is fresh cut slices, which we intend to pursue. We’ve received interest from retailers throughout North America and work is underway to establish large scale plannings in strategic locations with grower planters. We also provided needed capital to AquaBounty Technologies, increasing our equity stake in the company and we remain hopeful that the FDA will approve the AquAdvantage Salmon in the near-term. While we await that decision, AquaBounty is making significant progress with their marketing efforts and preparations in several foreign markets for field trials to bring healthy nutritious food to consumers in an environmentally responsible manner. With respect to our efforts in energy, we expect our methane bioconversion platform to reach pilot stage by year-end and have our sites set on potential commercialization of this novel gas to liquids technology in 2017. As a reminder, our first commercial target is isobutanol, which is -- which in comparison to other gasoline biofuel blend stocks, offers cleaner burning combustion, with less corrosion, holds more of the gasoline’s energy content, allowing for higher per gallon, and its compatibility with the current petroleum infrastructure offers a dramatic improvement in the efficient transportation of the fuel itself. Our team remains focused on achieving the yields necessary to bring this [drop in] [ph] fuel to market with our existing partner and future collaborators. During the quarter, we also announced a multiyear collaboration with an investment fund sponsored by harvest capital strategies. The fund is dedicated to the inventions and discoveries of Intrexon that we deem suitable for pursuit by a start up. The relationship has implications across all the sectors we address and will be complimentary to our ongoing programs. It is important to note that this collaboration will not prohibit our ability to execute other collaborations and joint ventures. We believe this approach allows us to remain capital efficient by avoiding the use of shareholder investments to support early stage development of innovative project, while expanding our backend economics across these ventures. Now on to the financial front. During the second quarter, we achieved record revenues of $44.9 million and adjusted EBITDA of $54.4 million. Our net loss was $40.7 million, or $0.37 per share and excluding the ZIOPHARM special stock dividend our pro-forma net income was $0.9 million or $0.01 a share. In the second quarter, cash consideration received for R&D services otherwise known as cost recovery covered 60% of cash operating expenses excluding our majority owned consolidated subsidiaries. Through the first half of 2015, our technology access fee and cost recovery covered 187% of our cash OpEx and we’re particularly pleased with the statistic as our main objective at Intrexon is to build a significant portfolio of backend economics across multiple industries and sectors, and while we’re building that portfolio not to burn shareholder capital. Thank you. We’re now ready for your excellent and thoughtful questions.
Operator: [Operator Instructions] Our first question is from Tycho Peterson of J.P. Morgan.
Tycho Peterson: Hey, thanks. Couple of questions. I guess, first on Merck KGaA. Can you maybe just talk a little bit about whether they’ve selected any targets to move forward in the clinic? It seems like in some of their presentations they haven’t really talked about CAR-T that much. I’m just wondering how they’re prioritizing that.
Randal J. Kirk: Sure. Hi, Tyco. RJ here. Yes, the first two targets have been chosen. We’ve other targets under discussion, but as we related in last quarter, around the time we did the deal as we discussed. These are not the same targets that others have chosen. So one reason we preferred Merck above any other potential collaborators, because they shared with us their view that we really need to leapfrog what is taking place in the clinic by others today, because one could reasonably wonder whether really anything that is out there today is a drug. I mean, is it ultimately a commercial product. That said, we think that the motive is extremely compelling, that it definitely does usher in a new era of certain cancer therapeutics and probably some other therapeutics in other areas as well. But as we have highlighted in our S1, two year -- almost two years ago exactly, with our IPO, as you may recall, Tycho. We had identified a number of industrial issues that really need to be solved in order for this motive to be practicable as in industrialized set of products. So in Merck we found a partner that shared our vision with respect to that, who really understood that once you began engineering biology, as is same as true there as is true in every other engineered sector of the economy which is in order to win long-term, it requires a continual commitment to innovation. So it’s not our intention to get up there quickly into the clinic with another CD19 CAR-T. I don’t think -- we don’t -- we know Merck believe that is necessary or even desirable. So we’ve identified novel targets. I can tell you that much I think. I don’t think they mind the two targets that have identified are novel. And they employee technology that we think will give us an expectation of genuinely superior performance.
Tycho Peterson: Okay. That’s helpful. And then maybe just a question on the business model in general, RJ, I mean, for a long time you talked about sharing the cost burden with your ECCs and 50% cost recovery this quarter is notable. If we think about Oxitec, you’re taking a lot more cost burden here as you’ve done with Trans Ova and AquaBounty. Maybe just talk a little bit about how you think about the balance longer term in the business model and margins, and how much of the cost you’re willing to bear and partnerships in general going forward? And if you can also just give us a quick pitch on Oxitec and how more mosquitoes is a good thing that might be helpful.
Randal J. Kirk: Sure. Thanks, Tycho. Well, first, as I mentioned in the press release, that our objective was never to achieve 60%. Let me first make a caveat. 60% is actually excessive in our view, which means we’re not growing quickly enough. Its not our objective to cover 60% of our cash OpEx through our cost recovery from our partners. The target is 50% and this is something Krish and I decided very early on and we don’t want it to be under 50%, we don’t want it to be more than 50%. To us this is a very important number. So that 50% number you should look at with a little bit of alarm as we did, because it means that we are not growing rapidly enough. Now I say this on behalf of the Company that when we did IPO two years ago had about 200 people and now with Oxitec acquisition we have about 700. So believe me, we're trying to grow. And you saw some of the people we hired that it required actual press releases, but I'll tell you in addition to those people are many, many others. So we are growing, but the point is we need to be investing in additional platforms and capabilities that will generate more ECCs. The thing that really makes me ultimately, I will say, maximally proud, is not just -- I don't need to say just, obviously we’re very -- we believe we’re performing very, very well for our partners. We can talk later if you like about some of the things we’ve executed on and actually are -- have actually wrapped up or close to wrapping up in connection with some of our earlier ECCs. But at the same time we’re able to find opportunities to acquire industrial products and industrial capabilities that allow us to leverage our technologies in a business that maybe small today and we will get to mosquitoes in a second, small or zero today in terms of revenue that we think will -- can be quite large in the future. So while maintaining that 50% cost recovery and relying on deal money to cover the other 50% of our cash out backs, we think there is additional juice here, if you like, in our ability to put together over time positions of genuine industrial leadership. And this is always been our -- we didn’t feature this in the S1, because frankly we thought it was too ambitious to mention. But when we began executing according to plan and actually ahead of plan, we found opportunities in which we could do this and so you remember our discussing this in connection with Trans Ova. Our acquisition of Trans Ova which is -- we think is just fabulous, fabulous business. It’s going to be very significant one in the future. So we know long-term technology leadership almost never leads to a situation of persistent competitive advantage, but industrial leadership can. And so over time it is our intention to acquire positions of genuine industrial leadership and so far we have a few of those. One, I mentioned is in bovine genetics and bovine embryo production. At the risk of going on overly long, let me tell you about my screensaver on my desk and home. The screensaver, my current screensaver is a picture of a beautiful -- it’s taken about a month ago in Uganda. It’s a beautiful Ankole cow. So for those of you who don’t know what an Ankole is, it’s a beautiful brown cow that you see in Africa that has the horns that go straight up. And she is standing in a beautiful green pasture and in the background is Lake Victoria and circling her is an absolutely fabulous Holstein Friesian cat. Now we know that cat genetically, because we made her in our labs in Iowa. That cat will grow up to be in any milk parlor in the world, Denmark, Wisconsin what have you, a super achiever. The character I call super bossy, meaning the top performer in any milk parlor in terms of milk product. So you see this picture and you have to be -- I’ve been sending this picture around to Board members and friends as a joke/riddle that goes as follows. How do you export a diary industry to China, India, Africa, and the Middle East? Answer FedEx, okay. So my point is these positions have genuine industrial leadership. I mean, I don’t have to tell -- for those I will call [indiscernible] with those industries, the beef industry is a $180 billion per year. The diary industry is a $180 billion per year. It has not -- this industry has not tracked the increasing productivity that’s been realized over the last 50 years, by for example the chicken industry not by a longshot. And when you talk to ranchers and you talk to dairyman, cattle genetics is the number one thing that they need for improvement. Well, so we’re in dialogue with the Government of India, we’re in dialogue with folks in China. We’ve customers in the Middle East, customers in Africa and we think this is going to be a very, very big business. Now the mosquito, so Oxitec -- first let me direct you -- I can’t do proper justice to it, but Hadyn Parry and the team that labored it to create Oxitec over the last dozen years or so, we just think they are phenomenal. And so let me direct you to their Web site, because it's a very wholesome Web site. There are lot of papers I think its actually in our current nature biotech and there are lot of papers and a lot of study reports out there. But in our view I will just say, we have been looking at the field of beneficial insects for three years and we studied a lot of assets, this in our view is the very finest one. Again the leverage between Oxitec and our existing technologies is extremely good. So it's a very, very nice fit, but gives us an opportunity to go into a deal that -- but in the future we think it can be very, very significant. The industrial -- the product that is most advanced if replied consistently around the world could essentially rid the world of dengue fever. This is an extremely horrible disease afflicting enormous number of people and it's prevalent across a swath of the globe that covers a population of say 2.4 billion people. I would say if you look at the field data, that have been published out of the field study done in Brazil for example, and you see their ability to knock down the disease vector for this disease. I think that -- put it this way, if this asset were a biopharmaceutical and it have the same level of efficacy as this, I can't remember the name, it's the Oxitec name OX5013a or something real glamorous like that, but anyway this particular product -- biopharmaceutical with the same efficacy against dengue fever obviously would be worth. I mean very, very significant number of billions of dollars. Now we have given a lot of thought to how we can commercialize this technology. We think we have some very, very good ideas about this. They have a pipeline of other products; actually one of them is actually featured in the aforementioned nature biotech article. So we are very, very excited about this acquisition. And so what I want to point to you -- just to answer your question -- direct answer to your question, Tycho, is we think we can do both. We think we can continue to pay our cash OpEx through the combination of deal money plus cost recovery, while amassing positions of genuine industrial leadership, that leverage us and allow us to grow these businesses.
Tycho Peterson: Okay. I'm sure there are others that want to hop on with questions; I just have two other quick ones. One, you're structuring a lot of these deals with stock, can you maybe just talk a little bit about that with Oxitec for example, you're giving up $80 million to stock, maybe talk about how you think about the value that places on your own equity?
Randal J. Kirk: Well, I'll say in the acquisitions that we have made that involved our stock; it's really securing a partnership. I mean, if you look at for example the fact that Neal Carter who created Okanagan Specialty Fruits, is now a member of Intrexon’s management team and a very, very productive one and he is on every Monday morning executive management committee call and he is the key team number. The same is true with David Faber at Trans Ova. We expect the same will be true of Hadyn Parry. So the way to make partners is to enter into relationships in which the interest of the parties are aligned. So I mean you know me, I’m -- Tycho, you know me for a while, I'm pretty jealous about equity. I don’t really want to sell or give any equity that is not absolutely necessary. But in these cases though, when we have calculated the value of having the teams that have really secured these positions of genuine industrial leadership, really marry Intrexon and have the same interests that we view economically, it just makes a lot of sense.
Tycho Peterson: Okay. And then just last one on Sun Pharma, it sounds like there may be some news coming on that one. You have had that deal for a couple of years, now maybe just talk about how that has paced relative to your expectations and where you see you’re positioning within ophthalmology?
Randal J. Kirk: Yes. So we really like, I will say, all the data that that’s been out so far this year and I know the data you are -- to which you're probably alluding, it has been highly encouraging to the approach we're taking here. I don't know how much we’ve disclosed about what we're doing here, but as you might imagine we are targeting the -- what Sam Broder refers to as the blinding disease, as these are the ophthalmic disease is that have maximal incidents really today for the baby boom generation. And incidence is actually approximately that of cancer, so it's really interesting we had sort of biotech has sort of missing this field. There are three approved biotech products for these diseases today, actually all in -- all for the same indication. And they are actually the exception as [indiscernible] to row, because they actually work by down regulating a protein. So the point being escorting a protein individually is a real bad idea, because you’re going to get a lot of toxicity. The anti-VEGF strategy for example, actually I’d like to say it reduces the protein instead of increasing. So our basic idea here is our gene programs, the eye is immune privileged. So if you want to put a gene program into a patient and have high degree of confidence that the gene program will not be immune silenced, the eye is actually a very good destination. And there is a lot of literature to teach us what proteins would be efficacious against these blinding diseases for several of these indications at least. But with the main problem always been toxicity from over dose and actually in the clinical trial data from one of the players in this space you actually saw, we believe the effect of that. So what we’ve here is another use of our switch technologies, and so the idea is to put a gene program into the appropriate tissue in the eye and then regulate and some regulate the protein expression with an eye drop. But we think it’s extremely promising. And you're right; we are making very good progress on it and will have news about this in the coming quarters.
Tycho Peterson: Okay. Thank you.
Operator: Our next question is from Andrew D'Silva of Merriman Capital.
Andrew D'Silva: Good afternoon, guys. Thanks for taking my call. I just have a few quick questions. First off, as far as you previously stated guidance call for a $100 million in product and service revenues. Just kind of wanted to confirm that that was still what you're expecting? And if that is so, with seasonality with Trans Ova genetics, I know the second quarter is typically the strongest period, but obviously you are growing the division quite quickly and I was just curious if you just saw Q3 and Q4 being largely flat as they relate to the second quarter or how would you expect revenue there to shakeup quarterly? And then kind of more of a long-term viewpoint, I know you look at a biopharma model typical growth rate with everything that you try to get involve with. Can you explain what you're looking for as a catalyst for that segment to grow in more of a hockey stick motion down the road?
Randal J. Kirk: Sure. So with regard to the areas I alluded to Andy, about industrial leadership, we think -- the thing to bear in mind on these is that and the term that we use within Intrexon is punching through. So what does it take to turn the Arctic apple into something that really does penetrate the $2.7 billion U.S apple market and then globally as well. And so, the first thing that requires is a lot of apples. So it takes two years to make an apple. So I can tell you that's not a hockey stick, that's a -- it's a hockey stick that is delayed by at least two years, put it that way. So at the current moment, the first thing we did actually before we close, because we knew we were going to close was we bought an orchard. So it could produce a lot of wood. I don’t want to get into apple cultivation here, but the bottom line is then with the wood, then you can supply those as grafts to the people who have contracted to grow the apples for us, and we are signing these grower contracts now, with growers around the country as Krish mentioned. So my personal view is that that is going to be a very, very significant business with a very attractive operating margin. But in general -- and this would be true for Oxitec, to a great extend this will be true for Trans Ova. I think we’ll continue to see terrific growth there. Several of the discussions we are having at Trans Ova relate to, as I mentioned significant national efforts to better for example dairy genetics, and these programs I think will result in a very nice growth of business that will occur over many years. Beyond that, we’re not modeling financially beyond the constraints that we’ve mentioned so many times which is that we expect that we’ll be able to continue to grow the company and cover all of our cash FX with the combination of deal money and thus recovery. You will see our product and service revenue continuing to ramp I think across every business that we’re involved in, but we’re not giving any guidance about that specifically.
Andrew D'Silva: But the previous guidance is still on the table, is that fair assumption or is that changed?
Randal J. Kirk: I don’t remember personally providing any sort of type, but if we did then yes its still on the table officially but obviously my view based on everything that is going on is that we’re seeing everything ramping across the board.
Andrew D'Silva: Okay, good. All right. And then moving over to your JV with Sun Pharma, AGTC joined in a collaboration with Biogen and the total contract could be worth north of -- slightly north of $1 billion if certain milestones are met. Now I was curious to know your thoughts are on that and then so how some of your lead candidates out of the JV compare with some of the lead candidates that AGTC and Biogen are progressing towards?
Randal J. Kirk: We’re not going to comment on that Andy, I appreciate the question. But for business competitive reasons I think I’ve already answered -- I think I’ve already stated with regard to our [indiscernible] program that we’re extremely pleased with everything that we see, all the data we’ve generated and we think this is going to be a very significant business. We refer to the JV as S&I Ophthalmic and I think our economics -- total economics in the JV ranges between 56% and 61% of operating profit and I can tell you, corporately we enjoy an extremely productive relationship with Sun. I think they’re one of the smartest companies that we have as partners. Dilip Shanghvi the founder -- the founder and CEO of Sun is just a phenomenal individual, great character, extremely serious, extremely intelligent, very focused and dedicated. And so this is just a wonderful, wonderful relationship. I would rate, many of our partnerships are, I mean these are -- I used the term marriage earlier when I said with regard to acquisitions and I’ll say these partnerships are equally like a marriage. So we’re really pleased with it.
Andrew D'Silva: Yes, I hear you on that. I guess, I wasn’t really trying to get what your milestones and fees could be down the road. I was kind of more interested in market comparisons for AGTC’s opportunity with SLRS and SLRP versus what you guys have working internally right now and maybe how you could compare the two on a total opportunity basis, because the way I -- and sorry I didn’t dig into this too much right in before the call, but from what I remember you were dealing with things that were maybe more traditional pharma model than what AGTC was and then also perhaps maybe a larger pool of potential patients.
Randal J. Kirk: Yes, by pharma like model, do you mean the fact that we’ll have recurrent revenues through the sale of the eye drops?
Andrew D'Silva: The eye drops, yes exactly.
Randal J. Kirk: Yes, to us that’s a very important part of this entire formula for this project, absolutely.
Andrew D'Silva: Okay, good. And just quickly going over to the energy segment, obviously using methanotrophs to get Isobutanol is a great way to increase the energy output. I heard you mentioned a little bit as far as it being a greener product for emission standards. Are you seeing any pushback right now from taking natural gas and converting it to Isobutanol from emission regulatory standpoint. I know that there’s a lot of things in the works right now with EPA carved in the administration and I was wondering is Isobutanol really up from a green standpoint that much better than natural gas or is it kind of closer to traditional gas and diesel. I’m just trying to figure out how that all shapes out?
Randal J. Kirk: Yes, in terms of emissions standards after you make the adjustment for its energy density being the equivalent of -- a rough equivalent of gasoline, its 97% that of gasoline. After you make that adjustment which would be a heck of an adjustment, then you could use natural gas as a proxy. Definitely cleaner than traditionally manufactured gasoline, but it’s not zero either, its approximately that of natural gas after you adjust for its vastly increased energy density.
Andrew D'Silva: So it stays on a energy output basis in line with natural gas, that’s kind of the most important thing. I think natural gas outside of zero emission has been one of the major points many regulatory bodies are pushing for to gravitate that way away from diesel in typical gas. So I was just trying to see if that feel into that emission standpoint, so it does?
Randal J. Kirk: Yes, what I’m saying is it’s actually better than that, because its natural gas but its natural gas that’s been made into a product that has a much higher energy density.
Andrew D'Silva: Got it. Okay. And then are you seeing other ways to modify methanotrophs other than creating Isobutanol right now maybe creating products for industrial materials and stuff of that nature. And then if so, is that tied into the JV or is that new opportunities that you can use in ECC partnerships?
Randal J. Kirk: That’s a great question, Andy. Yes, we do see additional opportunities for the methanotrophic bioconversion platform. The interest on energy partners venture itself has at its field I think liquid fuels and lubricants. But there are a lot of hydrocarbons that we can make and I think you could expect to see news about that in the coming couple of quarters. We previously identified for example that we have produced farnesene which of course sometimes is a fuel and sometimes not. But we are looking at some opportunities there. I’m so glad you raised it. We are seriously studying some of the couple of opportunities there that are not liquid fuels or lubricants that represent very, very significant margins.
Andrew D'Silva: Got it, great. Thanks for the timing. Good luck throughout the rest of the year.
Randal J. Kirk: Thank you.
Operator: The next question is from Keith Markey at Griffin Securities.
Keith Markey: Hello. Thank you for taking my question. I’m just wondering if you might tell us, what is the trigger or triggers that generate revenue for you from Artic apple. Is it the sale of trees or is there something beyond that?
Randal J. Kirk: I don’t know, let me -- while I look at, my two fellows here with me. I don’t know if we’ve actually disclosed our completed business model. We have not. So I probably would decline to disclose it here, other than to say that -- have you tried Artic apple by the way Keith?
Keith Markey: No, I haven’t yet.
Randal J. Kirk: You should get one from Krish. Because it’s an absolutely amazing thing. You try, for example the dry sliced apple. We served three bowls of dry sliced apples at our last board meeting and those bowls were empty at the end of the -- it was really amazing. When you taste this thing in that form you realize that in several categories of apple, this is not just an improvement, this is actually enabling, because I have a bag on my desk, I’ve told this story to a few others. I have a bag of these apples on my desk. I’ll leave it there for as long as three months outside of the cold chain, and it stays utterly pristine, it’s absolutely amazing. And when you put a little of slice of it on your tongue its like you just took it -- in a few seconds as soon as it hydrates its like you just took a bite of a freshly picked Granny Smith apple and it doesn’t have the chemical quality that we all just naturally associate, well frankly until I tasted it, I didn’t realize until I tasted it that every dry piece of fruit I ever had, had sulphur on it. When you taste this, you realize what a dry piece of fruit is supposed to taste like and that’s somewhat my point. There are some categories in which and that what I’m getting at is the business model. There are some categories in which we are likely to vertically integrate, because, well the joke I’ve said inside is, I just refuse to do an ECC with somebody because they have a slice around a bagger [ph], you know what I mean?
Keith Markey: Yes.
Randal J. Kirk: So, there are some specific segments of the apple market in which vertical integration is really going to be the best. As you go back toward the apples that are available at your supermarket then that’s going to require a somewhat different business model.
Keith Markey: Okay, thanks. And I just had a few sort of technical questions about Oxitec, for instance I wasn’t quite sure if they actually have approval from whatever the agencies are that are supposed to prove that type of a insect treatment. They have two for instance the yellow fever one that I think you mentioned earlier and then another one for cotton pest, pink bollworm. And but one of the bollworm shown as a commercial pilot, the other one is a commercial scale up flash optimization stage, are those approved? I wasn’t even sure. And then if they are approved, where and who does it?
Randal J. Kirk: Right. So there’s even more new ones around it. I don’t know if we have enough time on this call, and remember too, and I’d ask you to bare this in mind, we haven’t actually closed this transaction. So I don’t want to get into too much detail about this. But let me just say that there’s actually a distinction, there’s another distinction you should bare in mind which is approval to conduct a program for which you could charge versus approval to actually sell mosquitoes. And so Brazil, in terms of regulatory status is the most advanced and they’re the -- they’re the most advanced regulatorily. But beyond that let me just leave it at that. We think we have an excellent pipeline there the data are consistently excellent and we’re absolutely thrilled with this acquisition.
Operator: The next question comes from Peter Lawson at Mizuho Securities
Peter Lawson: Hi, R.J. you put a really nice list of, unvaried list of ECCs. Have any of these partners put Intrexon’s partnership of technology on hold. Just trying to workout -- work through some of those ECCs to workout which are kind of front burner versus back burner?
Randal J. Kirk: On hold, well as you know historically we had one ECC that we actually terminated for a failure to -- failure of the partner to exercise diligence. So I guess you could have used that as being on hold, but that was I think shortly after the IPO. But that partner recently entered into a new ECC with us and, in other words they entered into another ECC after we terminated them or around the time we terminated them in the first month. And then recently we entered into a new one with them and they’re executing very well on both of those. So I think the short answer other than -- with that caveat I can't think of any place where we’re on hold as you say. On the other hand, there are, we haven’t announced this because I don’t think it’s really material. But there are ECCs that will be coming to actually that on an API project where we’ve actually come to an end, is that right?
Krish S. Krishnan: We’ve completed the work.
Randal J. Kirk: Yes, I said we’ve completed the work and we’ve handed over the engineered cell line, so the -- our partner the, a pharmaceutical company in that case now is going to turn that into a product and hopefully pay us a lot of money. So there is the cycle to these things Peter and, so some of them will eventually complete. They were designed to complete. And you’ll see new ones being signed over time the course.
Peter Lawson: And the non-quests [ph] on the NK collaboration do you have, how does that proceed and how does that dovetail with the Merck collaboration?
Randal J. Kirk: Beyond the disclosures that, that company made I mean you’ll know, I actually got a couple of calls the day around the time they filed their S1 and then when they had their IPO, like why didn’t Intrexon ever mention this and why are we learning about this and some other companies S1. So I’ll just say, look there’s a reason we don’t talk that much about -- again we’re not talking about all of the technology we have, either license or internally developed and those reasons relate to competitive reasons. So, here I’ll say that we’re doing work, we have publicly stated we’re doing work in NK and with regard to NK-92 I’ll just leave it at the disclosure that was made by that company in their S1.
Peter Lawson: Got you. Thank you. And then just with acquisitions of various companies that trends over the Artic apples, how should we think about the long-term model and how should we think about margins, I thought it was assumed as this royalty bearing model, but I mean it looks like its changing somewhat with the acquisition.
Randal J. Kirk: It’s being complemented, I mean if you’re really -- we should sit down sometime and really take you through the full implications of our business model. But currently we count about seven different ways we get paid. And I don’t think that I would ever, if were I in your shoes, I don’t think I would ever attempt to model Intrexon as of some of the parts. And that’s going to be increasingly the case as we continue to grow and diversify which is exactly what you just commented on. I think it’s already at the point of impractical and I think we’re tending in the direction of the impossible, because by the time you finished you would have to start again. If you got my point. And so, but there are other -- there are other analytical message that people have employed in such cases. And so we can talk about that online sometime.
Peter Lawson: But, I mean should we thing that there’s been any kind of regression towards more of a traditional business, P&L business?
Randal J. Kirk: That’s a good point. Okay. No, no, no. Not at all. Really you should think about this as a building with a foundation or a ship and we’re talking about the bowl structure versus the stuff on top of the deck. So with regard to the bowl structure that is exactly as we’ve always described and so far as Krish and I currently contemplate, we have no intention of every changing that. We think it’s just a wonderful way to build the business. In this area of the economy which is, these are like sciences, and it takes years to develop some of these products. So how do you get from here to there without going to the nice folks on this phone call every year and asking for more money. This is not our intention and asking for worse, asking for more money for us to burn. If we ask you for more money we’re going to tell you what we want it for, it won't be to spend it on our own operations. So with regard to that part that’s completely invalid. What you’re talking about though is that we’ve been able to build structure on top of the deck that really is going to give us a great long-term future. And I’m -- as I mentioned earlier I’m very proud of our team for being able to do that. Because we have to be totally focused on success with these ECCs or otherwise people will stop coming to us. At the same time that we’ve been able to find great acquisitions and new partners like the folks at Oxitec and like David Faber and his team at Trans Ova partner at Okanogan. And these will become increasingly important parts of the business because we’re deliberately selecting businesses that are relatively small when we find them because we don’t want to dilute our shareholders to acquire a product or service line, excessively. These are in relation to our market cap, really quite modest acquisition. What really gets us excited though is that at a very modest acquisition cost we’re finding opportunities that we think will turn into billion dollar businesses in the future, and so that’s our motivation with regard to that. I guess at some future time as these businesses do turn into billion dollar businesses, yes I think maybe in retrospect people will say, oh it’s a product and service company. But that’s not our intention and if that turns out I will just say that will just be a retrospective kind of analysis. I remember when Jack Stafford was running American Home Products that turn into Wyeth, and I think they owned the Wyeth drug company and they also owned canned, what was a Chef Boyardee. They were selling canned spaghetti and drugs and a few others things. And my point is, if you’re succeeding all of the things you’re doing, and there are no shortage of analysts to explain how brilliantly synergistic those things are. The key is to succeed.
Peter Lawson: Got you. Thank you. And then we’ve seen some really interesting kind of pre-clinical data. When do we see the first Phase 1, Phase 2 data from partners?
Randal J. Kirk: Well we have, I think we have Phase 1 and Phase 2 data out there on a number of things including on one thing that’s not even partnered. Is the data on the AG014 out there? Yes, so and that’s not even partnered. So those data are out there Peter.
Peter Lawson: But I guess I’m just asking, when is the next data we see?
Randal J. Kirk: Yes, as far as the programs that are in the hands of our partners I’m just not going to get out ahead of them on that. So whatever they say is what we adhere to. And I just mentioned the only un-partnered one that we have that is clinical stage at the current moment is AG014 and I’ll tell you we have a lot of people looking at that. So I anticipate you’ll see that partnered in the near future.
Peter Lawson: Got you. Thank you so much.
Operator: Our last question is from Robert Breza at Wunderlich Securities.
Randal J. Kirk: Hi, Robert.
Robert Breza: Hi. Thanks for taking my question. First of all, nice quarter. Just a couple of quick questions. One, if you could talk a little bit about the longer term potential of the fund and then I think in the previous question you answered and talked a little bit maybe but I would love to get a little better understand about synergies across the divisions of the platform in terms of how you think about sticking to that 50% number that you talked about in your call here with really thinking about all the different projects here that’s going to be kind of a, obviously a bogie that’s going to move plus or minus, so I would assume 5% plus, but want to get your thoughts. Thanks.
Randal J. Kirk: Sure. So, just so I understand the question, the second part was synergies and the first part was?
Robert Breza: Was around the potential of your new fund.
Randal J. Kirk: Yes, the fund. Yes, that’s on -- was such a cool idea. Whose idea was that by the way?
Krish S. Krishnan: Not mine.
Robert Breza: And we were going to talk about mosquitoes and apples after this.
Randal J. Kirk: Yes. So as we began squaring off with larger and larger companies, and I’m actually -- I’ve got to go to London soon to meet with an extremely large one and is it London, which is the most convenient place. So we’re each traveling like half the distance or something, but anyway. So as we began squaring up with large and larger companies, we found that, our team was really not terribly interested in forming new relationships around sort of Greenfield projects with tiny companies. Even though we have seen on the numbers, I mean you consider what -- you consider the value that we had given to as I affirm even already and to the fiber cell. So clearly those opportunities are there and maybe we’re trying to do too much, but we -- I would always kind of put it, it just seems like industrial waste for us not to do those. And yet our team had discovered that the interface on one of these partnerships really costs us the same thing whether it’s a big deal or small deal. Whether it’s a big company or a small company, it’s linear in relation to decals, in relation to the number of ECCs. So with regard to these small ones, I just didn’t want to see them go to waste. But on the other hand I certainly understood our team’s reluctance to enter into a lot of them with vary tiny companies, venture back companies and so forth. So we developed this idea and really an expedient, but what if we could sort of house them all in one place until they really became significant. Some of them would fail in early stage development and the others would really get, would really turn into really companies. But what if you were really just dealing with the same team of people with regard to a host of these little opportunities. So we socialize this with a number of investment management firms and selected one. I would say they were all interested. I mean it really is an interesting I think sort of from a fund perspective I think its historical, its historic really. And so we contracted with this fund, they have the right of first negotiation the right of first look at anything that we think really, what we call it [indiscernible], anything that really looks like a [indiscernible]. And there are some other parameters around that, but I think they all -- that they all make a lot of sense. So the objective is for our, we have five sectors and so the objective is that we could look to establish around 10 companies per year through this fund. And so, we guess this is the thing done, recently and actually we actually sent them our first proposal recently, Krish and I review these things before they go over and we kick them back mostly to our team, but for more work by the way. But anyway, we’ve sent one over to the fund manager and we’ve got another one today that actually looks really good. So I think we’ll be able to keep up our end of the bargain and we think that the fund manager will do a very good job.
Robert Breza: Perfect.
Randal J. Kirk: Second part the synergy. Yes the synergies are out there. So if you look at the world, and you look at a field like it doesn’t matter food or therapeutics. We know that, look you can make a therapeutic in goat milk. You can make a therapeutic in a plant. You can make a therapeutic in a prokaryotic expression system. You can make a therapeutic in [indiscernible]. You can make a therapeutic in a plant; you can make a therapeutic in pro-chaotic expression system. You can make a therapeutic in a [indiscernible] line. You can make a therapeutic actually inside the human or even take one of his own cells out like we’re doing in fiber cell. Take one of his cells out, expand it, put the gene program in there, put the cells back in. But those skill sets are discreet. Nobody is going to have a drug company that knows how to do all those things. But what we carried [ph] in Intrexon is a number of silos, and all these report to Krish, and he runs them unbelievably well. A number of operational silos where the expertise is contained within that silo and they look across all the programs that require input from them. So we think about it this way. The genome editing unit, those people don’t care if they’re working on a human primary T-cell or an artificial genome. And so that’s -- but we really do I think, and I think that’s one reason this number kind of zoomed to 60% by the way, its precisely because I had not planned on this. But I think that we actually from an operational efficiency perspective we actually scale, and I hadn’t planned that, that would be so. So it means we’re going to have to grow a little bigger.
Robert Breza: That’s great point. So I’m officially transferring Rick, Krish everybody to State of Minnesota to do better apple research and export all the mosquitoes.
Randal J. Kirk: Well, I mean you say that but I have to complement the University of Minnesota for its wonderful honey crisp apple.
Robert Breza: Exactly.
Randal J. Kirk: That was a fine, fine creation.
Robert Breza: It was. Thanks guys. Have a great quarter.
Randal J. Kirk: Thanks.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to R. J. Kirk for closing remarks.
Randal J. Kirk: All right. Well first of all, thanks everyone for tuning in as they say. Let me just -- first I have to thank our team. I think they’re executing so well literally today better than ever. Those who’ve been with us for a while know that I’m a hard grader, but I’m not an easy grader anyway. But we’re very, very pleased at the job that the team is doing. At the time of IPO we explained to everybody we did an IPO because we needed your money. We IPO-ed for three other reasons and we’ve seen all three of those reasons be satisfied over time. One of those reasons was that we wanted an ability to really recruit the best and brightest people and increasingly we see that, that has really come true. And they’re not only the best and the brightest and I know there are a lot of very bright people in the world. I remember saying all the brightest people are in Intrexon but a long short. What I’m saying is, we are getting really good people and we’re getting people who share our zeal in the prosecution of the programs that we’re operating, because they see and I think they all -- we all share a real visceral sense of the significance of the moment in which we live. This business that we’re embarked on and this is not -- and here I’m not even talking about Intrexon necessarily, we’re trying to realize it with Intrexon. But this business that we’re barked on, I think is arguably and industrially the most interesting industrial vector -- the greatest industrial vector that any of us on this call will experience in our lifetime. And I think probably for a couple of billion years on either side of that moment. So think about just in broad terms what has actually happened. DNA developed enough sentience to start writing itself, to start rewriting itself. We are DNA. We’re part of the biosphere. So in ’63, Brenner and Crick et al they understand the relationship between the sequence and proteins and then ’72 you have the world's first successful DNA experiment. 26 years later we got a line code printout of the software that everybody on this call runs on, okay. So things are -- things in the future are really not going to look quite like the past. And it's because as an industrial vector once the DNA actually develops the sentient deliberate ability to rewrite its own code, then you’re like Captain James. T Kirk, who actually change the program when he was at academy, what was -- I can't remember the name. Tom Reed our Chief Science Officer, he would note of all about this. But anyway, it’s just an exciting time, its tremendously exciting time to be in this field. And we can't take credit for the opportunity and that's really my point about that. I think we are pretty humble about that. We are always careful to find out the people that looked without Intrexon everything we are talking about -- you want to know if beneficial insects are going to be a huge multibillion dollar industry? The answer is I believe with 100% certainty, that’s how. And that's whether Intrexon ever make any contribution in that field. And so the things that we’re seeing are just tremendously exciting. An opportunity -- just think about dengue fever, the application of that Oxitec Technology, there is a real opportunity there to completely like in -- like 5 or 10 years time, I’ve been actually talk to them how long it will take, so maybe I shouldn’t just top of mind, but I can’t help myself. Dear SEC please see the forward-looking statement section of this presentation, but I mean, here is an opportunity to wipe out to rid the world of dengue fever as an example, what I mean, and to do so with virtually zero impact on the environment, I think the possibilities that and we see new ones popping up all the time. The possibilities that people are realizing are really showing that synthetic biology is very, very real and that we are seeing real benefit from this. Arctic Apple, AquAdvantage Salmon, the Oxitec platform, the things we’re doing at Trans Ova and the things many, many teams and many companies are doing around the world, I will delve -- I have to say everything that interest people about immuno-oncology is all based on synthetic biology. Those fantastic results that have been are reported by Dr. June and Dr. Rosenberg and people like that pioneers all enabled by synthetic biology. I think -- I'll just with regard to cancer, let me just quote Sam Broder, so after his last ASCO, Sam observed to me that that if you would had told me three years ago, that these data that were presented, this last weekend at ASCO were that data, I’d have said that was and I believe the adjective that were science fiction. I’d have said that science fiction. And so point is if the world is moving so quickly, the technology is moving so quickly that even a Sam Broder is sort of amazed, I will just say we all have a lot to be amazed about. And so, we’re just very, very fortunate to be part of all this and we’re very fortunate to have the shareholders we do and I’m pretty sure you all know how committed we’re to you. So thanks.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.